Operator: Thank you for standing by and welcome to the Skyworks Solutions Q3 fiscal year 2010 earnings call. This call is being recorded. Now at this time I’d like to turn the conference over to Tom Schiller, Investor Relations. Mr. Schiller, please go ahead.
Thomas Schiller: Thank you, Operator. Good afternoon, everyone, and welcome to Skyworks F3Q 2010 conference call. Joining me today are Dave Aldrich, our President and Chief Executive Officer, Don Palette, our Chief Financial Officer, and Liam Griffin, our Senior Vice President of Sales and Marketing. Dave will begin today’s call with a business overview, followed by Don’s financial review and outlook. We will then open the lines to your questions. Please note that the statements today will contain comments referring to future results that are forward looking as defined in the Securities Litigation Form Act of 1995. Actual results may differ materially and adversely from those projected as a result of certain risks and uncertainties, including but not limited to those noted in our earnings release and those detailed from time to time in our SEC filings. I would also like to remind everyone that the results and guidance we will discuss today are from our non-GAAP income statement. It is consistent with the format we have used in the past. Please refer to our press release within the investor relations section of our company website for our complete reconciliation with GAAP. With that I will now turn the call over to Dave with his comments on the quarter.
David Aldrich: Thank you, Tom, and welcome everyone. I’m pleased to report today that Skyworks exceeded F3Q guidance for revenue, the gross and operating margin, as well as earnings per share. This is driven by our momentum in mobile internet and continued penetration into new vertical markets and a broad set of diversified analog applications. Specifically for the quarter, we delivered revenue of $275 million. This is up 44% year-over-year and up 16% sequentially. We expanded our gross margin to 43.3%, and our operating margin to 23.1%. In turn we grew operating income 122% year-over-year to $64 million, and we posted $0.32 to EPS – now this is $0.02 better than our guidance. With respect to the balance sheet, we retired another $20 million of March 2010 convertible debt, and we exited the quarter with $390 million of cash. As our results reflect, we continue to make progress along our strategic objectives, and these are namely first, diversifying across both end markets and customers; second, continuously improving our operational execution and in turn delivering leverage and higher financial returns. Now I’ll go through each briefly. First, on the diversification front, we are adding new customers and we’re entering new vertical markets. When we talk about vertical markets we’re really referring to underserved, high margin segments where we can provide a custom analog solution that leverages our broad technology footprint to improve our customer’s overall system performance. And in addition to entering new markets, we’re expanding our customer base. Not that long ago, you may recall, our revenue was heavily concentrated with a few tier-one handset OEMs, and today not only do we support the industry-leading handset manufacturers and smartphone providers, we’re also delivering highly-integrated solutions to key energy management suppliers such as Itron, Silver Spring Networks, Sensus, Landis + GYR, while addressing new markets and vertical applications. I’d like to give just a few examples of our diversifications, specifically during the quarter. Some examples are we’ve ramped DBS solutions in support of DirecTV and the Dish Network. We commenced shipments of attenuators for Cisco’s multi-room DVR for use in Verizon’s FIOS applications. We captured key design wins with broadband control ICs at some leading netbook and network OEMs. We supported Garmin’s GPS business and Europe’s largest supplier of electric toll tag systems with next generation analog components. And finally we powered Samsung’s 4G USB modem. This is the world’s first commercialized LTE device. These are just among a few concrete examples of our diversification strategies and practice. Okay, now with respect to operational execution, we improved end-to-end manufacturing yields during the quarter, we continued to drive to reduce our development cycle times while increasing inventory turns. And in addition we continue to seek operations to leverage our scale advantage and our hybrid outsourcing model. And finally, as our improving fundamentals reflect, we’ve made substantial progress towards our established financial targets. Last quarter we delivered a 280 basis point year-over-year expansion in gross margin, and an 820 basis point in our operating margin. And we have specific action plans in place to deliver further improvements. Okay, now that we’ve hopefully put our strategy into context, let me elaborate on what’s fueling Skyworks’ top line growth, and how we positioned ourselves to outpace our addressable markets. Today we’re capitalizing on three distinct business segments – mobile internet, vertical markets, and analog components. So first, with regard to the mobile internet, we believe the smartphone segment is poised to grow at 3x to 4x the 8% to 10% growth rate anticipated for the overall cellular handset market. For Skyworks, this market is growing at an even faster pace, given our increasingly customized solutions and our very strong relationships with leading OEMs along with the rising tide of analog content, as carriers and consumers shift to band-intensive 3G and 4G platforms. And we’re very fortunate today to be shipping to virtually all cellular OEMs and smartphone providers. Another rapidly growing segment that is often overlooked is embedded wireless. We estimate that there are 50 million units of USB modems, tablets, and mobile hotspots that were sold in 2009, scaling to roughly 250 million by 2013. This is an 83% compounded growth rate. And this outlook we think could prove conservative given the opportunity to easily upgrade the world’s online computers with 3G and 4G USB modems on top of this entirely new tablet category, which is clearly off to a very strong start. And we continue to gain traction on the other side of the mobile internet connection as well within network infrastructure, as mobile operators begin to install new base stations, routers, and back haul network equipment to avoid network traffic jams and to preserve their highly profitable data service revenue stream. To support this growth we’ve developed a portfolio of network infrastructure solutions that include attenuators, BCO synthesizers, mixers, low noise amplifiers and demodulators; and specifically during the quarter we introduced high performance broadband synthesizers spanning ultra wide frequency ranges. We ramped LTE attenuators at Erickson, and we’re very proud that we received a Milestone Technology Award from WAWE in recognition of excellence in base station innovation. Very proud of that. So in short global penetration of the mobile internet will entail upgrades to both existing client devices, as well as to the spurring network infrastructure. And at Skyworks we’ve deployed resources to secure an early mover advantage as these segments continue to ramp. Now, the second leg of our growth strategy is we’re in new vertical markets. As we’ve outlined in the past, we continue to make investments in systems applications and design within adjacent high margin analog segments. A couple of recent examples include smart grid and home and building automation applications. According to a recent study by ABI Research, cumulative growth investment in smart grid will exceed $45 billion in the next five years, as both government and utilities repair, upgrade, and transform their aging infrastructure. Smart grid offers utilities real-time, two-way communications with each segment of the electrical grid accessing local, loads, usage, and efficiency 24 hours a day. Much of the developed world relies on energy transmission technology, an infrastructure that was built between 60 and 80 years ago – and it’s beginning to show its age particularly as users experience usage restrictions and brown outs. Meanwhile we’re beginning to see home and building applications take shape. Here we’re providing ZigBee-based solutions for security monitoring and management. Specific applications include lighting control, door and window sensors, as well as wireless appliance and temperature controllers. The customer set here includes Honeywell, GE, LG, and Whirlpool. Now following more than a decade of promise, we now see the home and building automation market gaining real momentum given demand for green technologies, for enhanced security and energy conservation. Skyworks has added significant value through analog integration and by leveraging our scale. Finally, as a third growth sector we are leveraging our standard analog catalog business to address a myriad of mature and emerging segments. Today, with more than 1000 customers and with over 2500 analog products, our solutions are being leveraged across a broad set of applications including automotive, avionics, satellite, medical, military and industrial, just to name a few. This business increasingly provides us higher margins, a very diversified customer base, and long, almost annuity-like product life cycles. In summary, given these growth drivers we are entering the back half of 2010 on a steep growth trajectory, underpinned by our accelerating design and momentum, and our deep product pipeline. Stepping back, Skyworks continues to execute towards the multi-year business transformation we’ve outlined. We’ve made the investments necessary to capitalize on the growth in our addressable markets, to deliver operating leverage and in turn we believe to continue to create shareholder value. I’ll now turn this call over to Don for his financial review.
Donald Palette: Thanks, Dave. And thanks for joining us, everyone. First, I will provide a quick summary of our F3Q results and then outline our business outlook. Revenue for the period was $275.4 million, up 44% year-over-year and 16% sequentially, versus our guidance of 10% to 15% sequential growth. Gross profit was $119.2 million, or 43.3% of revenue, a 280 basis point year-over-year expansion which was driven by a product mix that increasingly includes higher-margin vertical markets and 3G solutions, volume ramp of new products, continued manufacturing productivity enhancements, product and yield improvements and significant cost reductions. Operating expenses were $55.6 million, of which R&D was $33 million and SG&A was $22.6 million, yielding $63.5 million of operating income and a 23.1% operating margin, an 820 basis point improvement year-over-year. Our net interest and other income expense for the quarter was $400,000 of expense, while taxes were $4.4 million, a 7% tax rate. As a result our net income was $58.7 million, or $0.32 of diluted earnings per share versus our guidance of $0.30. Turning to the balance sheet, during the quarter we recorded $12 million of depreciation. We retired $20 million of convertible debt, and we invested $25 million in capital expenditures as we anticipate a strong second half ramp. As a result we exited the quarter with cash and cash equivalents of $390 million. Now to our business outlook: Based on specific program ramps and backlog coverage, we are forecasting F4Q revenue of $300 million, gross margin expansion to between 43.5% and 44%, and operating expenses of approximately $55.5 million to $56 million, yielding a 25% operating margin which is squarely on track to our previously outlined medium-term operating model target. Below the line we expect $400,000 of net interest expense and other income expense, and a 7% cash tax rate. In turn we expect to deliver diluted earnings per share of $0.37 off of a base of 186,000,000 shares. Further, based on our innovative product portfolio and strong operational execution, we expect to deliver sustainable growth, expanding margins, and operating leverage from our current $1.2 billion annualized revenue run rate, and earnings based on nearly $1.50 per share. In fact, we plan to elaborate on our growth drivers and introduce our new financial model at our upcoming Analyst Day, September 21st in Boston. Well that concludes our prepared remarks, and Operator, you can go ahead and open up the lines for questions. 
Operator: (Operator instructions). Our first question will come from Parag Agarwal with UBS.
Parag Agarwal – UBS: Thanks for taking my questions and great job on the quarter. Firstly I wanted to drill down on your gross margin; you did spend it very well. As w go forward and you near capacity, just wondering how much headroom we have in the gross margins. And also could you elaborate about your manufacturing strategy given that you are bringing in a lot of capacity in house?
Don Palette: Parag, thanks for the question. This is Don. We believe we have a lot of headroom left in the margin, and you know, we talked about a number of, at minimum 45% on a go forward basis as we continue to expand the top line. And a lot of the levers that are going to allow us to do that are the same that you’ve seen in the past. One of the key things is going to be product mix. As we ramp our new margin degree of products - which are a higher percentage of vertical market and 3G solutions, and they have a pretty good margin, the overall margin of the business - we’re going to get a nice benefit from that. We’re going to continue to diversify our revenue base. Clearly volume and scale will allow us to continue to expand margins, and something that we focus on on a day-to-day basis – operational execution. We're going to continue to deliver improvements in key metrics at all of our factories and you know, we’ve also got our cutover to the 6” wafers and then there’s targeted margin expanding CAPEX investments we’re making as well. So all those things are going to contribute to moving our margins forward.
Parag Agarwal – UBS: Okay. And as a follow-up, you hinted towards a strong ramp in second half. Just wondering if you could provide more color on that? And also can you talk about ramp, the Nokia ramp, update us on the Nokia ramp into the second half?
David Aldrich: Okay, well we only guide obviously one quarter out but we do see that the programs we’ve identified in both our cellular business and smartphones as well as our vertical markets are continuing to gain some traction, so we expect to see ongoing sequential growth in those areas. So we’re excited about that. As we outlined in the prepared comments we now have the three legs of the stool, which is not only our smartphone and cellular business, but an increasing list of vertical markets that have a lot of headway for us as well as our ongoing growth in our catalog business. With respect to Nokia, this quarter they’re roughly a 10% customer. We’re very happy with that, we’re proud of that. And we have just begun to ramp into some of the segments where we haven’t previously participated. So we see ourselves rounding out that portfolio, and as we’ve identified in the past, continue to see sequential growth as we move from primarily being a 3G provider in the past to being lined out in their entire portfolio, we think sometime between now and 2011.
Operator: Our next question is from Craig Ellis with Caris Company.
Brett Piira – Caris Company: Thanks for taking my question. This is Brett Piira for Craig Ellis. How should we think about the growth profile of your smart meters going forward? Is that going to be lumpy, pretty steady? And what are your thoughts on when it can become a $100 million business?
Liam Griffin: Sure, this is Liam. That portfolio for us continues to be one of the most dynamic within our vertical market business. It is a multi-billion dollar end market, there’s no question about that. There’s a great deal of stimulus money behind it in the US, initiatives from utilities and even from the administration. Right now it continues to be a leading driver within our non-handset portfolio. We've done a nice job of engaging with some of the top providers of the meters themselves. And then kind of an adjacent market that is really pulling from this is the home automation space, and we see that really growing very rapidly through 2011, all the way through 2015 and beyond. So it’s a business that will continue to grow. It’s not really bump; it’s slow, steady growth for us. And we’re going to be up again this quarter and I think you're going to see sequential growth into 2011.
Brett Piira – Caris Company: Okay, thanks. And then on your backlog coverage, I know last quarter you were pretty close to 100% booked. What’s it looking like this quarter?
Don Palette: Brett, this is Don. It’s a very similar percentages as we discussed last quarter, and it really goes to the whole process and approach we take to forecasting. We take a very conservative view and we like to have a very, very high coverage and a backlog before we’ll commit and guide to a revenue number.
Operator: Our next question comes from Alex Guana with JMP Securities.
Alex Guana – JMP Securities: Thanks very much, congratulations on the strong quarter. I was wondering if you could talk to maybe some of your exposure in China. There was a little bit of a fall off in media tech environment. I’m wondering if you saw that late in the quarter, if it was disruptive to you; and what the outlook might be for some of the upgrade cycle that’s going on in that market as well.
Liam Griffin: Yeah, sure. China is certainly an important market for Skyworks. We’re a big fan of that region. We've invested quite a bit in the ecosystem. To your point we did see some choppiness in the account base there, and we serve up to 100 small OEMs in that market. There has been some choppiness; we think it’s righting itself right now and should improve as we get into the second half of the year to some degree. But Alex, in addition to the traditional handset guys that we work with, we are seeing some very good progress across the infrastructure space, mainly with companies like WAWE and BTE; and as Dave noted we were awarded not only the technology award plus plaque but also some great business with WAWE over the last quarter.
David Aldrich: And I think one thing I would add is that the business model that we’ve worked very hard to create is in one way we’re diversified across OEM customer set as well as region. So as Liam talked about we have seen softness in China, it’s well publicized, but we also saw relative strength elsewhere. So when we factor all that in, even as we’ve seen OEM shifts for example, we’ve been able to capitalize where there’s been strength and have been able to weather where there’s been weakness. And I think that’s just a factor in our business. Overall, the total market looks quite strong and we tend to ride that overall market as we are diversified so broadly and we’re able to take share.
Alex Guana – JMP Securities: As a follow-up, is some of that chop expected to continue into the current quarter? And if you could remind us then, what normal seasonality is for the December quarter and if that chop might turn into a benefit in that time frame, if it recovers?
David Aldrich: Well, when we tabulated our forecast we made the assumption that there would be continued chop. So we factored that into our planning as an attempt to be conservative. And normal seasonality for us is that December quarter would be up maybe 5% to 10%.
Alex Guana – JMP Securities: Okay, thanks very much.
David Aldrich: You’re welcome.
Operator: And we’ll next go to Sanjay Devgan with Morgan Stanley.
Sanjay Devgan – Morgan Stanley: Hey guys, thank you so much for taking my call and great job on the quarter. Just had a question: you’ve had some sizable growth the last couple of quarters, and I just want to touch on your manufacturing strategy. If you could help us understand, or if you had to put a confidence level around your ability to meet demand, are you guys sort of capacity restrained internally and externally or is that not an issue, and kind of the guidance is indicative of the end market demand?
David Aldrich: Yeah, that’s a great question, and we’re working very hard. In fact, our supply chain people have been with our suppliers across the board here all the time, trying to make sure we secure mindshare and all the capacity we need to support all our customers. We did a couple of things Don talked about in the prepared comments – the investments we made this last quarter in capital expenditures. And if you go back and look at what we said over the last couple of quarters, we are seeing tightness in supply and assembly and test, and we’re seeing it wait for supply. We’re seeing some minor component shortages but they’re very manageable we believe. And so what we’ve done in the last couple of quarters, the beauty of our hybrid model is that we have licensed or we can produce internally as well as externally assembly test, PHep and HBT foundry capabilities. So what we’ve done is we’ve addressed the bottlenecks in all our internal areas and we’ve essentially doubled down and added investment there so that we have the flexibility moving through really the October, November timeframe, and December, that we can pull in what we need to pull in if we get disappointed with either assembly tests or our own wafer side. So I think, I can judge by the tone of your comment – I share the concern that there’s tightness in supply but we’ve increased the investments we’ve already spent there as a way to address it internally, and to dial up the amount of internal manufacturing if we need to. And I think we may. But we’re going to meet the customers’ demand in either event.
Sanjay Devgan – Morgan Stanley: Great. And then just as a follow-up I was wondering if you could touch on cutover to the 6” wafers. If you can kind of give us a sense on how that’s progressing relative to expectations, and when we can kind of see that cutover take over.
Liam Griffin: Well Sanjay, that cutover has occurred. I mean…
Sanjay Devgan – Morgan Stanley: I mean in terms of when you see volume shipments going over 50% with the new 6”.
David Aldrich: Everything we’re producing now is 6”. So what happened is we converted, we took our 4” line, and I have to hand it to our operating folks – they actually converted to 6” while running the 4” at very high capacity utilization. You typically don’t see anybody do that. So I’m frankly pretty proud of the way the team operated and executed to that plan. And so when we flipped the switch to 6” or when we migrated to 6” the utilization was reasonably high and you saw no roll off in margin, in fact you saw an improvement – we see an improvement or accretion in margin. Now what we are doing is as demand increases we’ve got plenty of headroom capacity to go internally with this 6” HBT with relatively short lead time, equipment, and human resources or people. So we’re on that path. We see more margin expansion as we grow and we’re able to moderate how much we do internally versus how much we do outside.
Liam Griffin: Sanjay, that’s the key that causes us to keep that balance and percentage where it needs to be to continue to grow margins.
Sanjay Devgan – Morgan Stanley: Great, thank you guys.
Operator: And we’ll next go to Ittai Kidron with Oppenheimer.
Ittai Kidron – Oppenheimer: Hi guys, congratulations on a good quarter. Had a few questions. Don, first of all on the OPEX, it’s starting to move up – how do we think about that going forward? And also your cash generation this quarter was not all that stellar, a big jump in accounts payable if you can give us some color around that.
Don Palette: This is Don, Ittai. The first, on the cash usage for the quarter, we actually did consume cash this quarter, roughly around $20 million, but the big driver of that was we spent $33 million to retire some additional convertible debt. It’s a little over $20 million at face value. We’re continuing to focus on optimizing the capital structure – that’s part of that program. There’s only $27 million of our convertible debt remaining that’s due March 2012. We also, as Dave just alluded to, as part of this making sure that we’re able to handle the customer demand that we expect in the future we increased our capital expenditures for planned program ramps and internal capital expansion. So the takeaway on that is that we expect a very strong cash flow in Q4.
Ittai Kidron - Oppenheimer: Can you give us more color though around the increase in accounts receivables and payables? It’s one of the biggest I’ve seen in your balance sheets in some time.
Don Palette: Receivables is a combination just of revenue growth. Our DSO is right in line with what it’s been, there’s no change there; it’s just the timing of revenue shipments. That does affect how quickly you collect. And as far as payables, it’s just in relation- Inventory, we did ramp inventory; that’s just in anticipation of demand in Q4. So that AP just follows the inventory bill – there’s nothing special going on there. 
Operator: Our next question will come from Jonathan Goldberg and Deutsche Bank.
Jonathan Goldberg - Deutsche Bank: Hi guys, thanks. I was wondering if you could just expand on a question you were talking about earlier in terms of capacity. I'd like to look more at long term. Do you think that the industry can scale? Do you think there’s enough gas capacity out there that you guys can keep up as we start hitting 1.6 billion, 1.7 billion handsets, those kinds of markets?
David Aldrich: Well, we needed the 6” conversion because when you get the 6” conversion and rough water magnitude you get, each wafer produces a little bit more than 2x the number of dye. So we needed to do that. And now that we’ve gone to 6” we have the opportunity for a relatively small amount of capital to expand that further. We also have an ongoing relationship with an outside provider with a copy-exact process; we can ramp those folks as well. So I think from an HBT standpoint we are in very good shape. And so the answer to your question is as the industry goes to 1.6 billion handsets we have the capacity to produce what is even at our most aggressive unit volume increase and our share aspirations; when we factor both of those in on the aggressive side we have plenty of capacity. I don’t think that’s an issue. There is tightness of gallium arsenide supply elsewhere in the market but that’s not a concern of ours because we can do it internally.
Jonathan Goldberg - Deutsche Bank: Okay, thank you.
Operator: The next question is from Todd Kaufman with Raymond James.
Todd Kaufman – Raymond James: Can I just ask again the question with regard to the pretty sharp increase in accounts receivables? It grew significantly, outpacing your growth and your revenue. What was behind that?
Don Palette: Todd, this is Don. It went up roughly $50 million from Q2 to Q3. We had a $50 million increase last Q2 to Q3. There’s nothing, it really is just a result of revenue ramp and the timing of the shipment. The DSO is actually flat to what we’ve been performing over the last three to four quarters. So it’s not a velocity issue; it’s just the timing of when the revenue ships. That does drive whether we can collect within a 45 to 50 day window that revenue. Nothing else at all impacted that.
Todd Kaufman – Raymond James: And then just a follow-up. It's sounding like when I hear you that visibility of your business the last couple of quarters is actually much better than it was in a more normalized environment going back a few years. Is that pretty accurate or…? Cause you call out annual run rate, annual earnings run rate now, I think you’ve done that for a couple of quarters in a row. Is that true or the visibility is still basically one quarter looking forward?
David Aldrich: I think the difference is, there is a difference, you mentioned going back a couple of years. There’s a big difference in the last couple of years. One is that increasingly our business, our products are customized to either a base pan solution or an OEM solution, some cases both. So what we see today is we’re getting designed in much, much earlier in the chip set and architecture solution decision, which means that once we’ve won an order, we’ve won it; once we’ve won a socket, we’ve won it and it goes the life cycle of that, in this case, let’s say it’s a base pan solution, a base pan chip set or a customer OEM platform. So if you go back a couple, three years ago you had a situation where many of the 2G systems were dual-sourced and so there could be an opportunity to win and lose business based on phone refreshes. The only way we lose or win business today is on a platform or on a complete base pan refresh. So once we’re in we’re in, and the only trick then is to be able to accurately forecast what our customers, how many phones our customers are going to ship. Because we absolutely know the share we’ve got – we absolutely know it. It doesn't shift, it doesn't change throughout the life of the program. That’s a big, big difference. The other difference is that our non-handset business that was mostly component-driven a couple of years ago, today it tends to be more custom IC driven into these verticals and then into our analog components business. So those programs again, like the handset example, rather than being commodities sold to a discount channel they’re customized into a solution, whether it’s a base station or an energy management device, or a CATV modem. So it’s the difference between a custom analog business and a component business. 
Operator: Our next question is from Anthony Stoss with Craig Hallum.
Anthony Stoss – Craig-Hallum: Hi guys. If you wouldn't mind commenting about a higher percent, kind of 2G versus 3G. Also what percent you send over to AWS or how much you utilize them in the quarter. And give us a sense of your CAPEX needs maybe this quarter and next. Thanks.
Don Palette: Hi Anthony, this is Don. The mix for the quarter, we’re now slightly more than half 3G versus 2G. We were 52% 3G and 48% 2G. Your other question on CAPEX – I would anticipate it’s going to be a level that you’ve seen in the past few quarters, in the $20 million to $25 million range. We don’t guide cash flow but that’s a number that is not out of the realm of possibilities for us.
Anthony Stoss – Craig-Hallum: Then AWS? Was that about the same, at 15% of production?
Don Palette: Yeah, that number runs 15% to 20%. It’s in that range.
Anthony Stoss – Craig-Hallum: Great. Thank you.
Operator: Our next question is from Cody Acree with Williams Financial Group. 
Cody Acree – Williams Financial Group: Hi guys, great quarter. I can’t believe we’ve got this far in and no one has mentioned inventories. How are things looking within the channel and internal?
David Aldrich: You broke up, Cody, the last sentence. You want inventories in the channel and what?
Cody Acree – Williams Financial Group: And internal.
David Aldrich: Okay. Well, our inventory turns internally have remained very consistent. They’re up a bit so we continue to reduce our cycle times and work the inventory turns, so those -- I think they’re higher than anybody in the space. Our inventory turns run in the high 5 to 6 turns, and that’s quite good in our environment. Externally, you know, remember, Cody, that much more than half of our revenue today now is going either to a hub or to a stocking distributor where we have complete visibility into sell in versus sell through. So one thing we can say for the majority of our business is that there really is no opportunity to see a glut of inventory build because we simply replenish that which is drawn down and used and consumed in manufacturing by our customers. That’s the nature of these hub contracts. So we don’t worry about component inventory builds or our stuff sitting on a shelf somewhere. Now there’s a broader end market question, but in terms of the question you asked which is componentry, we have lean inventory in the distribution channel and no excess inventory in any of the hubs.
Cody Acree – Williams Financial Group: And how about that end market visibility?
David Aldrich: Well, the end market visibility is quite good among our major customers. The area that Liam referred to, in China where the visibility gets a little bit more choppy. There’s been some OEM share shifts, there’s been some build up and take down as the governments tried to pushed back on some of the gray market and reduce perhaps the number, the growing number of OEMs shipping into that gray market. So we did see some impact there, we factored that into our guidance. So that’s where the visibility is lowest. It’s quite good elsewhere.
Cody Acree – Williams Financial Group: Great. And then lastly, with this new structural product mix change, not relying quite so much on the handsets, how does this affect seasonality?
Liam Griffin: Well, it should for the most part offset the typical handset seasonality. So you see more annuity-like growth with these complex analog, mixed signal, vertical market portfolios.
Cody Acree – Williams Financial Group: If you had to go into a range of quarterly weighs, how does this look first half, second half, Q1 to Q2? What should we expect going forward?
Liam Griffin: Well yeah, we really, it’s difficult to try to triangulate that. Certainly I think we’re all pretty familiar with the types of ramps and seasonality you see in the consumer handset-oriented markets – you know, a better September and December and then some softening in March. The non-handset business doesn’t exhibit that, so for the most part you can see steady growth. You know, March may be down a touch there but certainly it will offset to some degree the seasonal declines that you see in consumer handsets. 
Operator: Our next question is from Nathan Johnson with Pacific Crest.
Nathan Johnson – Pacific Crest: I may have missed it, but did you guys say what percentage of revenue came from the linear business this quarter? And just, I guess to dig in a little further, how do you anticipate that percentage to be in the September quarter and then in fiscal 2011?
Don Palette: Hi, Nathan, this is Don. For Q3 our analog business remained in the 20% to 25% range, which it’s been in the last multiple quarters. Handset revenue was in the 75% to 80% range. We wouldn't expect that percentage to change in the Q4. 2011, we’ve spoke before about our overall goal and our strategy is to continue to expand our analog business. We’re going to be focused on moving that percentage as we move into 2011. Keep in mind, all the financial models that we’ve talked through and the performance to date has been with that analog business being 20% to 25% annual return. So as we’re successful moving that percentage forward, you know that's going to be an overall impact to the business model as well.
David Aldrich: This is Dave, and I also think we should point out that even within that 20% to 25% or 75% to 80% on the handset side, it really masks a big shift within the handset sector, which is we’re moving pretty dramatically away from the 2G segment more towards 3G. We’re seeing more 4G, more multi mode and highly integrated solutions with more content. So I think it’s almost a little bit of a disservice to think of it as an 80/20, that’s true, or 75/25, but there’s a big shift going on within that 75% to 80%, which we are benefiting from a lot. So we like the growth in the smartphone segment, the 3G and 4G segment, and we are quite comfortable with while we’re growing aggressively in the non handset business, we’re going to grow the handset business just as fast here in the short run, but we’re going to see that underlying shift which helps our margins a lot.
Nathan Johnson – Pacific Crest: And then I guess expanding on the 4G discussion, can you just remind us for a typical 4G handset, what that looks like in terms of additional dollar content for you guys? I mean is it equivalent to just another 3G band or is there some other dynamic there?
Liam Griffin: Yeah, absolutely. Well typically when you start to port LTE into a device, and we’re seeing it now. We mentioned on the call that we just launched the first commercial LTE device, which is really in the form of a USB dongle provided by Samsung. That is a great model for what you may see. Now that device has an Edge FEM, several WCDMA bands and actually three LTE bands. So quite a bit of content. We’re now looking at customers that are thinking about 2011, 2012 with as many as six different discrete devices that Skyworks can provide – two or three LTE, two or three WCDMA. So it is going to be a material gain in content for us and it’s also you know, quite a challenge in terms of complexity and performance. And those attributes, the content, the value that you derive and the performance and the requirements that actually limit some of the competitors, it’s a perfect intersection for us.
Operator: (Operator Instructions). We’ll next go to Aalok Shah with DA Davidson. 
Aalok Shah – DA Davidson: Hey guts, just a quick clarification question. You guys have talked about smart meters for quite a bit of time now and I’m trying to get a sense of how big that business really is for you guys. Can you give a range of how big that business is and what you think the potential is?
David Aldrich: Yeah, it’s been the fastest growing segment in our non-handset business. It’s right now about 20% of our non-handset business. And you’re right – we think that is a great example of where we were able to identify an underserved market, try to de-embed with applications and system engineering and support where we could go in and add value to our customers. We’re trying to superimpose that model to now a number of verticals. So you’ll hear us not only talking about energy management, but as today we talked about home automation, we’re doing the same thing in network infrastructure, wireless infrastructure and broadband communication. So we do like to talk about it in the context of a successful penetration of a vertical market where the margins are quite high, and we want to see increasingly a lot of those at Skyworks.
Aalok Shah – DA Davidson: And then one other quick question on, just a follow-up on Nokia. Have you guys started to see incremental new platform wins at Nokia or is it kind of the wins that you’ve seen over the last six months starting to come to fruition?
Liam Griffin: Actually right now we are gaining share with multiple platforms. You know, we’re one of the few vendors that is aligned with each and every one of Nokia’s baseband partners – Broadcom, STE, Qualcomm even. So we have a great relationship with each and every one of the baseband partners and a great relationship with the OEM itself. So you see today design wins that had been in queue for awhile, there’s several new programs that are going to ship in September and in December, and through 2011 and 2012 we’ll continue to grow in that account.
David Aldrich: And we believe that between now and 2011 that you’ll see us participating in a low, medium, high end of Nokia's business, and that has not been the case in the past. So we’re really thrilled with the platform penetration at Nokia.
Operator: We do have a follow-up with Tim Luke at Barclays Capital. 
Tim Luke – Barclays Capital: Hello?
Operator: Go ahead, Tim. You may have to pick up your handset.
Tim Luke – Barclays Capital: Sorry. Thank you so much. With your cash generation that you've been seeing, how should we think about your strategy going forward? Will we continue to look to you to pay down that balance of the debt? Do you see opportunities for share buybacks going forward? And eventually, Dave, do you see opportunities to add through to the portfolio in terms of smaller acquisitions? Thanks.
Don Palette: Tim, this is Don. Yeah, as far as how we look at our capital structure, absolutely those things are distinct possibilities as we go forward. We’ve been very aggressive and successful paying our debt down over the past year and a half. We have $27 million left of the converts. Given where we are on the balance sheet with $390 million in cash and $315 million of net cash, we think that gives us a very strong competitive advantage. And we’re always on an regular basis analyzing the capital structure, and clearly two of the possibilities are buying more debt and buying shares back. And both of those, the payback to the company to do both of those are share price driven. So it’s something that we see as an opportunity for equity appreciation. With that in mind, buying both those back at pretty high returns is obviously something, so it’s something we’re looking at on a very regular basis. And they are possibilities.
Tim Luke – Barclays Capital: Thank you so much, guys. 
Operator: We’ll next go to Quinn Bolton with Needham.
Quinn Bolton - Needham: Hi guys, I apologize if this has been asked – I came on late. But you guys talked about strength of smartphones and the LTE. I was just wondering if you look across the higher end of the design wins are you seeing a trend towards more modular solutions? I think some of you recent wins are actually PAD Plexor modules in the smaller areas. It looked like a lot of your LTE actually included the Duploxor. So I was just wondering if you’re seeing a trend towards more highly integrated solutions as you get more bands or if there is still a good market for discreet PAs in some of these smartphone NLTE devices?
Liam Griffin: Here’s the trend. The trend is towards you know, a great deal of complexity in the front end and that can be delivered discreetly. There are certainly customers and devices that are looking to get that more integrated. But I’ll tell you lately the performance requirements have been so demanding, and what the consumer wants today in this handheld device has been just astounding. They want a tremendous performance, they want to download video. They’re on social networking. And the challenge within these mobile platforms now has never greater. So with that said, what we’re seeing now is a shift toward very powerful, discreet devices that bring in gallium arsenide technologies, which is something that we have in–house, advanced multi-chip assembly and tasks, and just skill in D&A that Skyworks fortunately has under the hood here.
David Aldrich: It’s really all over the map. There’s a performance orientation. You see more discreet pans because they can be optimized at that frequency range for optimizing recurrent consumption and linearity and so on. And then in other areas we’re seeing a great deal of push toward integration of multi bands and then pulling into switch-ring, filtering and so on. So we see it all over the map depending upon the segment of the market that it’s being addressed. One thing that we’re seeing though that has been quite consistent, is that even when they’re looking to optimize performance - using a single band to optimize performance over a frequency - the bands themselves are being bundled within an overall system. So we’re seeing less often an opportunity come in and say “I'll take that band from you and that band from someone else.” That’s not what they’re doing. They’re asking for a single switch that may do the control functionality for all the bands and logic that would control the transmit and receive functionality across all those bands. And even though they may go with discreet power amplifier, they’re less and less apt to mix and match between suppliers. They need the overall system proven out, integrated, tested, and not have to worry abut trying to architecturally mess around with different suppliers.
Quinn Bolton - Needham: Great, thank you.
Operator: And our last follow-up with Parag Agarwal with UBS.
Parag Agarwal – UBS: Hi guys. There has been some chatter about so-called adaptive power amplifiers or programmable power amplifiers. I just wanted to get your views on what, as to when you think this will become mainstream, and what you are doing on these new products.
Dan Aldrich: I’m sorry, maybe you could repeat. I just didn’t understand the question.
Parag Agarwal – UBS: One of your competitors have been talking about adaptive power amplifiers in the sense that they can be programmed to a particular frequency on the fly, ro you know, they’re programmable power amplifiers. And the idea is that as we move to newer technologies or bands, instead of having four or five bands you can have just one power amplifier which can be tuned to a particular frequency. So just wondering…
David Aldrich: Yeah, we have these configurable, adaptable power amplifiers that can be very broad band in frequency and they can be driven by the base pan and receiver to cover multiple bands and multiple modes. The problem, I would say the vast majority of what we’re seeing today is that the base pan configuration - that is, the chipset ecosystem - is around a very specified front end architecture optimized for the freakiest and brands where they can configure it to go after their customer OEM base and provide adequate performance at each frequency band. So while we do see some push toward having broader band amplifiers and multi mode amplifiers, we absolutely do not see the case where an adaptive amplifier can be programmed and therefore you can take a PA and say, “Hey, why don’t you base pan guys… I don’t need to work so closely with the base pan manufacturer. I can download software and then OEM can configure my PA to work.” We see zero examples of that.
Liam Griffin: That type of technology is available here at Skyworks and we use it in infrastructure, broadband amplifiers in infrastructure. And in the cellular domain where the intricacies are known and there is so much focus on efficiency, right, and power that the strategy of developing a high performance discreet or an integrated device with a known frequency has been the way to go.
David Aldrich: We see zero forgiveness on current consumption, and the architecture you’re talking about tends to have a trade-off on overall pace and availability. And we can do it, but frankly we see zero, zero opportunity for us to go with a customer that is more broadband but causes points in current consumption. We just don’t see that as an option.
Parag Agarwal – UBS: That’s all I have for you, guys. Thank you very much.
Operator: And with that there are no further questions in the queue. I’d like to turn the call to Dave Aldrich for any additional or closing comment.
David Aldrich: Well thank you so much for participating. That concludes our call today. And on behalf of the entire team, thank you.